Operator: Good day, and thank you for standing by. Welcome to the Appian Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, VP of Investor Relations, Jack Andrews. Please go ahead.
Jon Philip Andrews: Good morning, and thank you for joining us. Today, we'll review Appian's second quarter 2025 financial results. With me are Matt Calkins, Chairman and Chief Executive Officer; and Serge Tanjga, Chief Financial Officer. After prepared remarks, we'll open the call for questions. During this call, we may make statements related to our business that are considered forward-looking. These include comments related to our financial results, trends and guidance for the third quarter and full year 2025, the benefits of our platform, industry and market trends, our go-to-market and growth strategy, our market opportunity and ability to expand our leadership position, our ability to maintain and upsell existing customers and our ability to acquire new customers. These statements reflect our views only as of today and don't represent our views as of any subsequent date. We won't update these statements as a result of new information unless required by law. Actual results may differ materially from expectations due to the risks and uncertainties described in our SEC filings. Additionally, non-GAAP financial measures will be discussed on this conference call. Reconciliations of GAAP to non-GAAP financial measures are provided in our earnings release. With that, I'd like to turn the call over to our CEO, Matt Calkins. Matt?
Matthew W. Calkins: Thanks, Jack, and thank you, everyone, for joining us today. In the second quarter of 2025, Appian's Cloud subscriptions revenue grew 21% to $106.9 million. Subscriptions revenue grew 17% to $132.7 million. Total revenue grew 17% to $170.6 million. Adjusted EBITDA was $8.1 million. Last quarter, I shared 2 metrics that measure Appian's progress towards efficient growth. The first measures the productivity of our sales and marketing expenditure. In Q2, Appian's go-to-market productivity ratio was 3.3. You can see on Slide 4, that's our eighth sequential quarterly increase, and I believe there's more upside ahead. Our weighted Rule of 40, which expresses our strategic priorities by weighting cloud subscriptions revenue growth twice as much as adjusted EBITDA margin, was also up slightly to 31%. We're pleased with our second quarter results. I'll briefly mention 2 reasons why they are good. First, the internal factor, our upmarket strategy is working. Powered by strong sales organization and execution, we are reaching the high-value transactions where Appian belongs. Second, the external factor, artificial intelligence. Our platform gives AI the things it needs like data access, structure, guardrails and tracking, so AI can solve complex business problems. AI is having a tangible effect on our financial results. We're getting higher prices because of AI. We add a 25% upcharge. We're in new deals because of AI and even new industries. I'll talk about that in a moment. But one more point about it. Whatever AI has done for our revenues, it's done more for our pipeline. And whatever it's done for our pipeline, it's done even more for our value proposition. So I see this being a strong growth factor in the future. Speaking of growth, most of our 7-figure software deals signed this quarter were with our AI inclusive license tiers. I'll share 2 examples of AI impact in big applications for big customers. First, an international grocery retailer and 7-figure ARR customer manages supply chain logistics and insurance claims with Appian. In Q2, it deployed Appian AI into an existing field dispatching application built on our platform. Before AI, drivers filed paperwork when they encountered a shipment issue and back-office workers manually recorded discrepancies before correcting the information and reissuing a new dispatch order in their Appian application. Managing these expectations was slow, and there were sometimes human errors. Now drivers upload their paperwork into Appian and our AI automatically reconciles the information. It's faster and more accurate. Second, a top global asset management firm and long-time Appian customer has deployed our platform across its enterprise. It runs dozens of Appian applications. This quarter, it upgraded, purchased a 7-figure software deal to upgrade its licenses to deploy features like Appian AI into areas like its client investment operations. Appian AI agents will accelerate the processing of customer requests. Agents will classify forms and extract data related to opening, closing and changing accounts. Turning to the U.S. public sector. Our performance in the first half of this year has been strong. Our federal business outgrew the global business in cloud revenue, in new bookings and in software pipeline. We have a reputation for driving efficiency in a sector which now prioritizes efficiency higher than ever before. We're seeing some good opportunities. A U.S. agency supporting national health care is unifying its enterprise. And in Q2, it chose Appian as the backbone to all virtual care operations and signed a 7-figure software deal. Millions of patients will use our platform to engage with clinicians, coordinating virtual appointments and sharing health data in real time. The agency expects to save $38 million per year using Appian. We've been using the phrase "cautiously optimistic" all year. to describe our expectations for the federal business in the face of DOGE and other volatility. And I'll stick with that wording. But looking back, our cautious optimism has been validated by results. We see a large opportunity emerging in the modernization of legacy applications. We've been modernizing applications for a decade already, but the industry is about to transform as AI lowers the cost of extracting old applications and translating them into a new format. Businesses modernize applications to reduce cost, eliminate technical debt, improve functionality and unify silos. Let's start with an example. Aviva is a multinational insurer that consolidated 22 legacy call center systems into a single Appian application. They achieved 40% cost savings and the ability to service customers 9x faster. Now that AI makes it easy to achieve modernization, the industry is set to grow. Modernization was the hottest topic on my latest customer tour, and generally, customers brought it up themselves. This industry is going to be big because each major organization, every major organization around the world, supports hundreds or even thousands of applications at great expense, and they would rather have fewer. And they wish they were better integrated. and they regret the data incongruity and they worry about the long security perimeter, and they want to access them all in modern ways. And nobody likes silos. Silos are just the way applications are laid down as IT departments solve one problem at a time, but it's not a good way to structure an enterprise. Appian brings 3 powerful advantages to the revitalized field of app modernization. First, our platform is a great destination for translated applications. It's full of powerful pre-written functionality. It's secure, reliable, enterprise-grade. Second, recreating an application in Appian is a dialogue, not a delegation. We manage a multistep dialogue between the designer and the AI. The AI presents the designer with proposals like for the interface or the data structure and the designer can modify them. When the designer is satisfied, the AI builds the new app. And even then, the app remains highly modifiable in Appian's process modeling interface. Third, Appian consolidates many applications into one. The modernization process is a unique opportunity to consolidate old applications into fewer new ones that offer the same functionality in a more coherent way. Last quarter, a customer asked me if we could translate 3,000 old applications. He didn't want us to give him 3,000 new ones. Appian is built to unify functionality and data into a combined application experience. I love this modernization market for its scale and universality and also because Appian's advantages won't be easy for rivals to duplicate. Another example, a leading Spanish bank is running a large-scale modernization campaign to decommission inflexible technology. In Q2, it purchased thousands of Appian software licenses and became a new customer. It will migrate all back-office workflows from legacy tools and consolidate them on our platform. We expect the bank will run core processes 30% faster and save millions of dollars annually with Appian. Last customer example, a prominent U.S. health insurer is undergoing a company-wide initiative to consolidate its tech stack and save $1 billion. It selected Appian 2 years ago to modernize its core applications and deployed a single application to unify its previously dispersed approval process for prescription fulfillment. In Q2, it signed a 7-figure software expansion deal to deploy Appian across its business, starting with Medicare and Medicaid enrollment. Finally, I have one personnel announcement. Last month, David Crozier joined Appian as our new Chief Marketing Officer. David holds a deep understanding of enterprise software and AI and brings decades of experience leading marketing teams and scaling operations globally. I'm excited for him to join our team. With that, I'll turn the floor over to Serge. Welcome, Serge.
Srdjan Tanjga: Thanks, Matt, and thank you, everyone, for joining us today. Since this is my first earnings call as Appian's CFO, I want to take a moment to share my reasons for joining Appian and the opportunity I see ahead. First, our product is great, which is reflected in our strong retention rates. I have consistently heard from our customers that they are happy with Appian and want to find ways to do more with our platform. That satisfaction is a great foundational asset on which to build the company. Second, Appian's AI value proposition resonates in the market. Enterprises are wary of AI hype and want to deploy this technology in ways that are safe, compliant and most importantly, generate tangible value. Appian's focus on deploying AI agents within a process achieves just that. Third, Appian is focused on efficiency as evidenced by an impressive improvement in profitability over the past 18 months. Since joining, I've seen the work done behind the scenes to improve our processes, systems and execution. We're building a strong foundation that will help us drive efficient growth going forward. Finally and most importantly, Appian's culture deeply resonates with me. Appian's values are intensity and excellence, and those are also my personal values. This team is ambitious and wants to win, and I'm excited to be a part of it. Now let's turn to our Q2 results. Appian exceeded the guidance ranges we provided on our key metrics of cloud revenue, total revenue and adjusted EBITDA. We had a strong quarter of new business signings due to continued momentum at the high end of the market and the AI demand, as Matt mentioned in his remarks. Cloud subscription revenue was $106.9 million, an increase of 21% year- over-year. Total subscription revenue was $132.7 million, an increase of 17% year-over-year. On a constant currency basis, total subscription revenue grew 14% year-over-year. Professional services revenue was $38 million, up 13% compared to the second quarter of 2024. As a reminder, services revenue can be variable quarter-to-quarter. Subscriptions revenue represented 78% of total revenue compared to 77% in the year-ago period and 81% in the prior quarter. Total revenue was $170.6 million, an increase of 17% year-over-year. On a constant currency basis, total revenue grew 14% year-over-year. Our cloud subscription revenue retention rate was 111% as of June 30, 2025, compared to 118% a year ago and 112% in the prior quarter. Our international operations contributed 38% of total revenue, unchanged from the year-ago period. Moving down the income statement, I will discuss our results on a non-GAAP basis, unless otherwise noted. Gross margin was 75%, unchanged from the year-ago period and down from 78% in the prior quarter. Our subscription gross margin was 87% compared to 89% in both the year-ago period and prior quarter. Professional services gross margin was 33% compared to 30% in both the year-ago period and prior quarter. Total operating expenses were $122.7 million, flat with $123.2 million in the year-ago period. Adjusted EBITDA was positive $8.1 million versus our guidance of negative $5 million to negative $2 million and compared to an adjusted EBITDA loss of $10.5 million in the year-ago period. This outperformance relative to our guide was largely driven by greater-than-expected revenue as well as timing of certain expenses, which we now expect to incur in the second half of this year. Net income was $0.3 million or breakeven per diluted share compared to a net loss of $18.2 million or $0.25 per share for the second quarter of 2024. This is based on 74.6 million diluted shares outstanding for the second quarter of 2025 and 72.3 million diluted shares outstanding for the second quarter of 2024. Turning to our balance sheet. As of the end of Q2, cash and cash equivalents and investments were $184.8 million compared to $159.9 million at the end of last year. For the second quarter, cash used by operations was $1.9 million compared to $17.6 million cash used by operations for the same period last year. Turning to guidance. For the third quarter of 2025, cloud subscription revenue is expected to be between $109 million and $111 million, representing year-over-year growth between 16% and 18%. Total revenue is expected to be between $172 million and $176 million, representing year-over-year growth between 12% and 14%. Adjusted EBITDA is expected to be between positive $9 million and positive $12 million. Non-GAAP earnings per share is expected to be between $0.03 and $0.07. This assumes 74.7 million fully diluted weighted average shares outstanding. For the full year 2025, we are increasing our guidance for cloud subscription revenue, total revenue and adjusted EBITDA. Cloud subscription revenue is expected to be between $429 million and $433 million, representing year-over-year growth between 17% and 18%. Total revenue is expected to be between $695 million and $703 million, representing year-over-year growth between 13% and 14%. Adjusted EBITDA is now expected to range between $49 million and $55 million. Non-GAAP earnings per share is expected to be between $0.28 and $0.36. This assumes 74.7 million fully diluted weighted average shares outstanding. Our guidance assumes the following. First, we expect professional services to grow modestly on a year-over-year basis for both Q3 and the full year. Second, we anticipate term license revenue to be flat on a year-over-year basis in Q3 and grow modestly for the full year 2025. Third, total other income and interest expense will be approximately $3.5 million in Q3 and $15 million for the full year 2025. Finally, our guidance assumes FX rate as of August 1, 2025. In closing, we're pleased with our Q2 results and in particular, with our ability to win new business. We're confident in the opportunity ahead, and we'll continue to invest responsibly to maximize our long-term value. Now we'll turn the call over for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Raimo Lenschow of Barclays.
Raimo Lenschow: I've got 2 quick questions. One for Matt and one for Serge. Matt, if you think that dream or the idea of app modernization, as you said, has been around for quite a while and AI should really help here, where are we on that journey, though, to kind of really get this to happen? And how much will come from just one vendor rather than like tools from different ones? And then for Serge, can you just talk a little bit about the cloud NRR, that kind of 111%, kind of stepped down a little bit again? Are we finding the level here? What are the drivers there?
Matthew W. Calkins: Yes. App modernization is going to be a much more complex market than it appears to be from this distance. Early in its conception, it seems like it may just be unitary, but it won't be -- there's an extraction motion. There's an instantiation motion. AI can help with both of them. The first is more services intensive, the second likely more software intensive. We're obviously -- we're doing this market. We've been in this market for years, and we have a track record, and we're already a legitimate leader in modernization, but the game will change so much over the next year or 2 as AI is brought to bear on both of the 2 primary motions that comprise this market. We are confident that we have something to say and can lead in both sides of that equation, and we're driving forward.
Srdjan Tanjga: Yes. Raimo, thanks for the question. Let me jump in on the NRR rate. So let me say a few things. First, as we've discussed in the past, NRR is a helpful metric, but it has certain limitations. In my mind, most importantly, it's backward looking, sort of averages growth across quarters and obviously only reflects a subset of the business. With that said, the downtick to 111%, I would contribute it to some of the same reasons we talked about in the prior quarter, which is kind of the ongoing effect of a couple of down-sells that we've experienced in the past as they work their way through the system in the backward-looking metrics. I will also say that as we look at the composition of our new business in the first half of the year, a higher percentage than in the past has actually come from new customers, which we actually see as evidence of strength, our ability to land in these new logos with large and strategic mission-critical deals at the outset. That's a strong sort of contribution or a strong testament to our value proposition. And then you talked about sort of the metric bottoming out. You may have noticed that I did not mention in the script the range of 110% to 120% that we used to reference in the past. And that's not because, actually, anything has changed in the business. We remain very confident in our ability to grow with our existing customers. But we're not referencing that range because we don't actually run the company to achieve an NRR level. We run the company to achieve total new business, whether it's on-prem or in the cloud, whether it's new or existing customers, but it's total new business that we forecast, that we discuss and that we compensate people for. The NRR metric is an output, and we'll obviously continue reporting it. But it doesn't make sense to talk about the expected range because it's not actually how we run the business.
Operator: Our next question comes from the line of Keith Weiss of Morgan Stanley.
Keith Weiss: I think this is similar to Raimo's question, but maybe a little bit more specific. So Matt, on the call, you talked about Appian's advantages that won't be easy for others to replicate in this market opportunity. But I think that's exactly what a lot of investors are worried about overall for software, but particularly for app development platforms and companies such as yourself, is this view that generative AI, agentic computing and these AI labs are going to be able to do more and more on a go-forward basis, automate more processes and obviate a lot of legacy or existing vendors or even the SaaS layer altogether. Can you dig in a little bit on sort of what those advantages are that Appian holds that you think are going to prove true moats, right, that aren't going to be able to be replicated by just agentic AI or kind of what the AI labs are doing to help us and help investors get a little bit more comfortable about durability, if you will?
Matthew W. Calkins: Yes. Absolutely, Keith, and thank you for the question. So I know a lot of people are worried about this, about how AI will be able to write applications and they're concerned. They don't know how that's going to affect our market. But let me tell you, there are things that AI will absolutely not be doing. Appian comes with a built-out frame of functionality. And whether that's scalability or security calls or the ability to run on a mobile phone or all the features that come built in when you create an application in the center of our platform on the modeling environment, all of that comes with whatever app you put into our platform. And AI is not going to do that. AI is not going to write a hot-hot failover, for example, so that if the app goes down in one location, it automatically starts up in another location, a high availability kind of functionality. That's a perfect example of something you would never get out of AI. Also, AI wouldn't be merging 100 applications into one like we're talking about. But look, the competitive advantage isn't just against AI, it's against our competitors. And we find that the direct large company competitors have a platform that's inferior to ours. Porting an old app into JavaScript or Apex Code is not as good as porting it into a platform like Appian that's easy to introspect, modify and comes built out with all these features. And the start-ups aren't going to have the credibility to be used in major circumstances. And from what I've seen, most of the modernization opportunities are major circumstances with hundreds or thousands of applications for worldwide-famous organizations. They wouldn't be going with a start- up. So there's either a platform problem with our directs or a credibility problem with the start-ups. I think we've got a unique situation where we're large enough to be a credible player in this market, but also we've really invested in having a great process environment so that when you create an application on our platform, that's a fully featured, scalable, secure, reliable application in a way that our competitors and AI would be unable to construct.
Srdjan Tanjga: Keith, can I just also chime in? Because I'm new and I had some of the same questions and sort of an analogy that Matt uses was helpful to me. It's helpful to think of AI in the context of an application as an engine. But engine, in and of itself, doesn't accomplish enough or much. It needs a car to go places. And we are the provider of that in the context of security, safety, durability, accuracy, actually. And so that gives us that gives us confidence that it won't change and that we have a durable advantage here.
Matthew W. Calkins: Yes. Like, as an example, right, AI is not going to write a new data fabric that integrates all the data sources across the enterprise and automatically tunes your queries, tunes it so that the queries that are asked most frequently get better performance. That's the kind of thing that you need a platform like Appian in order to do well. So I know there's a lot of imagination about what AI is going to be able to create. And AI will create a great engine. But as Serge says and as we like to say, it's good to have the car with that engine.
Keith Weiss: Excellent. That's a great analogy. And I think you're right that we're at a part of the kind of the innovation cycle and the hype cycle where there's a lot of broad sort of aspirations what AI will have to do. So you guys bringing out sort of analogues like the car versus the engine, I think, is really important to help investors in the marketplace understand what's the right place that AI will go into. Serge, it's great to hear from you again in the new role. So congratulations on the new seat. I had a question more specifically for you. We're seeing 14% constant currency growth overall in Appian and flat OpEx growth. And Matt was talking about some of the efficiencies you guys are already seeing in the business, particularly in sales and marketing productivity from utilizing AI. Where are we in the Appian journey? Like how much more is there to go in terms of you guys garnering efficiencies out of your own use of these technologies and getting those margins heading in the right direction?
Srdjan Tanjga: Yes. So I would generally constitute it as we've made progress, but there's plenty more to go. And maybe I'll take a little bit of step back. I commend Matt and the management team on the efforts that were put into place over the last couple of years. And really, what the team has done here internally is focus on the areas of lowest productivity where the ROI wasn't there, and you've seen the improvement in the margin. And that requires discipline and resolve. And once again, I'm happy to be in an environment that can do that. As we roll forward, I sort of see 3 key drivers of continued profitability and efficiency. The first one is continued improvements in sales productivity and the payback on our sales and marketing investment. And it's very encouraging what we've been able to do here in the first half of the year. But obviously, the game is still afoot, but we're optimistic about where we can go from here. And we'll achieve further improvements by improvements in our go-to-market process as well as targeted incremental investments that will have a disproportionate impact on that sales and marketing payback. So that's bucket number one. Bucket number two is we have an ambitious product road map, but we can deliver it cost efficiently by growing our R&D base across the world and in particular, in India. So we've made those foundational investments, I would say, over the last couple of years, but we're going to continue pushing in that direction. And then finally, to your point, we can use our own AI. We can eat our own cooking sort of across the company. And we're seeing some good early results in the context of some go-to-market functions, but we can do more as far as customer-facing, we can do more as far as how we write our own code and, of course, in the back office as well. So a lot of work done already, but plenty for us to continue doing here and to sort of balance that -- find that balance between growth as well as improvement in margin.
Keith Weiss: Excellent. That's super helpful. And congratulations on a solid quarter.
Srdjan Tanjga: Thank you.
Operator: Our next question comes from the line of Steve Enders of Citi.
Steven Lester Enders: Great. Serge, looking forward to working with you more moving forward here. I guess maybe just to start, just in terms of the contribution that Appian AI is maybe having on the pipeline or maybe how is it changing the customer conversations in terms of how they're viewing, I guess, Appian as a key partner moving forward, just what have you seen from those dynamics? And is it having a, I guess, impact to -- or how would you kind of frame the impact it's having to some of the demand out there for Appian right now?
Matthew W. Calkins: Yes. I'd say it's a great driver for pipeline. We are seen differently by customers. We can show them that we can create far more value with AI than we could before. AI is a brilliant digital worker, and we've been selling digital workers for a decade or more within our process model. But now we've got the best digital worker ever, and we can demonstrate how much productivity that can add. Also, our case studies are accumulating, and we've got a lot of great things to say to each specific vertical industry. We could talk case studies. We could talk our performance record. We can talk expectations for each primary model that we frequently deploy of how much AI efficiency should be gained, how much time should be saved. We're showing that we understand better than others what can be done with AI in a practical sense, and it absolutely does change the conversation. So that's pipeline, that's bookings, that's revenue. And most importantly of all, and the precursor of all of that, is value proposition, which has changed meaningfully.
Steven Lester Enders: Okay. That's great to hear. And then maybe just on the guide, it's pretty healthy raise here. I'm trying to understand how much of that is maybe a bit of a change in the guidance philosophy or the guide framework here? Or is there some impact here from the change in FX rates? Can you just kind of help maybe walk through what's different today with the guide versus 90 days ago from the prior annual outlook?
Srdjan Tanjga: Yes. I'll jump there. So no change in guidance philosophy or how we think internally, frankly, about our pipeline and our ability to close. Matt has been talking for the last couple of quarters about the changes that we've seen this year in the macro environment and obviously, some of the uncertainty that we have related to DOGE. Although we're happy with our performance, no need to change sort of the tone or the philosophy behind the guide at this point. It still feels a little premature. On FX specifically, what I would tell you, as we've done this time around, as a general practice, we use current FX rates when we provide guidance. And we don't forecast where FX goes from wherever they are at that current moment. And if you look 90 days ago in early May, much of the dollar decline, which is beneficial to our revenue had actually already played out. So FX was marginally helpful for Q2, and it's a part of the sort of the increase in the guide. But much of the increase in the guide really is about the fundamental strength that we're seeing in the business and the cautious optimism that Matt talked about.
Operator: Our next question comes from the line of Derrick Wood of TD Cowen.
Cole Erskine: This is Cole on for Derrick. Matt, I just wanted to double-click on DOGE. It seems like some of the initiatives have tapered back a little bit since 90 days ago. Could you just dive in on the federal pipeline and what you guys are seeing, and then maybe as well how AI ties into this and how you're going and selling to them versus commercial?
Matthew W. Calkins: Yes, that's right. Well, DOGE may have died down a little bit, but there's fundamental undercurrents that have been started by DOGE that look to survive and shape the federal marketplace for years or decades in the future. Perhaps the most important of those is the disinterest that the government now seems to have regarding higher or spending through intermediaries. There's a far greater interest in doing business directly with Appian or with the software provider as the case may be, and that allows us a greater degree of control, customer satisfaction and revenue involvement. And so that's a very good trend for us. Another one is the government's increased prioritization of efficiency, something for which we have long had a reputation in Washington. These developments are very positive for us. I think it's just structurally changes the market in a way that ought to help and our pipeline is healthy.
Cole Erskine: Great. And then just one more on pricing of the AI process. You guys had said that you're going to take a look at shifting pricing. And then last quarter, you said that you might migrate some customers on renewal to a new pricing structure. I mean what's the update there? And do you have anything to add?
Matthew W. Calkins: Yes, that's right. Well, there's a long-term concern in this industry, just to flesh out your question, that since AI is going to reduce the number of users on any given application, that it might have a negative effect on the pricing scale that a lot of software vendors use. We sometimes price by users, but not always. We have a number of different pricing models. So it could be by user or flat app or all- you-can-eat or a consumption model. We do a lot of different styles of pricing, and it differs by region as well. And so we see the same problem. We are relying more on our other pricing methods, and we're doing a careful conversion, kind of a migration internally away from seat-based pricing and toward a kind of consumption model. But that's a very deliberate, cautious and gradual migration. And we don't need to make any sudden moves because we have a set of pricing models that we can rely on.
Srdjan Tanjga: And maybe just I'll also chime in to say that a pricing model is ultimately just a way to get value, and we're very confident in our value and, frankly, our customers see it as well. And leaving pricing models aside, we've been increasing prices successfully just apples-to- apples, not new functionality, for multiple years now. And that ultimately tells us that our value proposition is strong and that we'll be able to get our fair share of the value we create going forward as well.
Operator: Our next question comes from the line of Devin Au of KeyBanc Capital Markets.
Devin Au: I wanted to ask about some of the new sales leaders you have hired in EMEA in the quarter in addition to the new Chief Marketing Officer. Could you maybe elaborate on the appointments there? What are you hoping these new leaders would bring to Appian? And are you expecting any notable changes in the go-to-market motion in that region?
Matthew W. Calkins: Yes. The general trend across all of our go-to-market operations is one in favor of alignment, discipline, best practices. And all the hires we've made in EMEA and anywhere else for that matter are in line with that transformation. It's been going for a while. There is not a sudden change. We're just continuing to drive the strategy through aligned leadership across the organization. That's it.
Devin Au: Got it. That's helpful. And then maybe just one quick one for Serge. I know you mentioned some of the outperformance in the quarter for EBITDA. It was kind of driven by some expenses shifting out to the second half. Could you maybe just elaborate more on what these are? Is it mostly headcount related? Any color there would be helpful.
Srdjan Tanjga: Yes. No headcount, it's marketing and some consulting expenses that we just sort of tactically moved from the second quarter into the back half, but it's a relatively minor contributor. We just want to kind of be transparent and give you guys the confidence so that you can understand how the guide moves versus the prior one.
Operator: Our next question comes from the line of Jake Roberge of William Blair.
Jacob Roberge: Serge, looking forward to working with you moving forward. Great to see the continued productivity on the go-to-market side. Serge, you talked about this being a key area to drive more efficiency in the business. As you've looked at things, can you talk about what's worked for the company thus far and where you think some of the low-hanging fruit is moving forward? And then are you starting to see your new AI solutions help drive faster decisions from customers just given the ROI for them might be a little bit clearer as you're going to market with those?
Srdjan Tanjga: Yes. So a few things. And by the way, thank you. Looking forward to working together as well. So again, if you look at the rearview mirror, we've removed some of the least productive areas of investment and channels, and that sort of helps productivity sort of in a mathematical way in that like it raises the average of the rest. And that's helpful because it saves money, but it's not sort of what's going to drive the business going forward. And what we've seen, however, over the last couple of quarters and in particular, in Q2, is improvements in productivity driven by better execution in our move upmarket. We're seeing bigger deals. We are seeing more strategic deals, and that comes from our ability to take our great product, our strong relationships and marry them with improved execution and just get better outcomes. And honestly, it's my first quarter here, and I was impressed with some of the deals we've been able to get in from the perspective of size, duration, names, structure. And I think, again, that speaks to the sort of the latent opportunity that we have here to monetize with our customers over time. And so you should expect us to see more than that in the context of improved productivity, improving process. Some of the leadership changes are going to keep helping with that front as well. And the way that, that fits into the overall model is just the better the productivity, the more you can grow revenue while expanding margins at the same time. And so again, early days, no victory to declare here, but some pretty positive signals.
Jacob Roberge: Okay. That's helpful. And then can you just double-click on what you're seeing with your public sector business? Things seem to be progressing really well thus far this year. But as we head into the third quarter, could you just talk about how conversations with customers are going just given the larger Q3 buying cycle there?
Matthew W. Calkins: Shall I take that?
Srdjan Tanjga: Yes.
Matthew W. Calkins: All right. Well, I'll say that we're in healthy conversations and that we're pleased with the way the behavior of the federal government has changed in its priorities and its buying patterns. But beyond that, I think that's all I can add.
Operator: I am showing no further questions at this time. Thank you for your participation in today's conference. This concludes the program. You may now disconnect.